Peter Egan: So good morning, everyone. So Yvonne and myself will take you through the operational and financial results for H1. So I'll start with some highlights on the operational side. Organically, organic growth in HORECA 1.4% and in Workwear 1.3%, respectively, details of which we'll go through in a few moments. Volumes, we mentioned earlier in July that a slightly slow start to the season and things began to pick up from July onwards, and that was maintained throughout the summer period to date. Crawley, pleased with Crawley. The site has opened earlier in the year. We started production clearly. We've moved work in, continue to move that work in from our current estate and new business won continues to move into that site as well. Workwear retention, pleased with the workwear retention levels at 94%, almost back to historic levels of 95%. Energy costs continue to improve, albeit remain slightly elevated. And as a reminder, we forward purchase on our energy. Yvonne will go through that in detail in slides to come. From an investment perspective, we continue to invest in productivity and improvements and innovations where we can. We've invested over the last number of years in workwear and our workwear facilities and then some of our flatwork facilities that I'll touch upon in capital allocation in a few moments. Back in March, we started our consultation with regards to moving to main market. That has been successful. And we spoke with a number of investors and explained the move. And then also, we continued with our share buyback. And this morning, we announced a further GBP 25 million buyback to start. So all of that brings us confidence that in reporting the full year, adjusted operating margin in line with current market expectation and adjusted operating profit margin improvement on track for at least 14% into 2026. I'll hand over to Yvonne now to take us through the financial highlights.
Yvonne Monaghan: Okay. So just on the summary on Page 6. As we said, revenue increased to GBP 257 million, reflecting both price increases and the acquisitions made last year and some contracts this year. Organic growth overall 1.4%. Adjusted EBITDA increased to GBP 75.4 million, given an improved margin of 29.3%. Last year, it was 28.3% in the first half. Adjusted operating profit, GBP 28.7 million with an improved margin of 11.1%, and that compared to 10.3% last year for the first half. Adjusted PBT, GBP 24.9 million after an interest charge of 3.8. EPS 4.6p, an increase of 17.9% and this morning declared an interim dividend of 1.6p. The next slide, just a reminder of where we've come from over the last 5 years or so, improving return on capital employed, and then leverage remaining below 1x. We've said our target is 1 to 1.5, so just below 1 at the moment, and then share buybacks, so that's GBP 65.3 million returned since 2022 to date. And then as we've just said, another GBP 25 million launched this morning. In terms of costs and cost pressures, so we've sort of demonstrated there the impact of cost pressures on the margin and margin recovery as we've gone through. So we're still saying the 14%. Energy costs are slowly reducing was 7.8% of revenue in the first half. That compared to 9.4% in the first half last year. A reminder, though, they were only 6.5% of revenue back in '19 first half. So trending down, but still quite a bit ahead. Continuing to fix gas and electricity prices such that we're approximately 90% fixed for gas, and 75% for electricity for the second half of this year. And then we're building positions as we normally do with '26 and '27. So we're 60% or 50% fixed for gas and electric in '26, and 40% and 30% into '27, and we will continue to build those as we go through. Hedged diesel prices, and they were 95% fixed or hedged -- technically hedged for this year and 80% into '26. So disappointingly, labor costs have increased as a percentage of revenue, and it was 46.4%. And that reflects the increase in minimum wage, the 6.7% increase that we dealt with in April and not to mention the insurance costs, which are costing us about GBP 6 million per annum. So we're continuing to try to drive efficiencies through the plants to try and offset that. And I'd expect it maybe to slightly tick down in the second half and then being maintained. We're doing our best on energy and labor as we go through to try and improve that margin back. In terms of cash flow, so cash-generative business and hence, the share buybacks. Net debt at the end of June was GBP 145 million, including IFRS 16 or GBP 99 million without, and that's after completing GBP 16.8 million in terms of cash in the first half of the GBP 30 million, and the balance has gone out by the end of August. Debtor days, 42, which are pretty consistent. We've been 40 to 42 days for some time. Rental stock depreciation slightly higher to GBP 30 million, just over GBP 30 million. And rental stock spend is about the same, similar amount as depreciation, so net impact on cash. And then PPE spend, we spent GBP 23 million or so in the first half, probably a similar amount in the second half, but I am expecting CapEx on PPE to drop in '26, a lot of the big projects we have completed. Tax payments slowly increasing. So we spent GBP 3.3 million in the first half. similar amount in the second half. And then it will increase in '26 as the benefit of the first year allowances work through the system and how it all pans out with deferred tax. And then the GBP 25 million buyback, obviously, with that going out, depending on the timing of that. So we said up to March '26, but it could go out sooner than that. So depending on that, I'd expect debt to be slight -- if it all goes out in this calendar year, we'd expect that to be slightly higher by the end of June -- end of December, sorry. And then just a few other bits and pieces. So total interest, GBP 3.8 million. Our bank facility was increased to GBP 135 million. That's drawing down the accordion that we had in place. Margin is still 1.5 on both sterling and euro borrowings. Gearing, as we said, was 0.9x at June, and I'd expect it to be similar at the end of December. Tax rate, 24.1%, just slightly lower than the 25% U.K. rate. And in part, that's due to the ROI rate, which is only at 12.5%. And then just a quick word on pension scheme. So our surplus has increased. So net of tax is about GBP 5 million at June with no deficit contributions going into the scheme at present. There's a valuation due at the end of this month. Return on capital employed, 15.5%. I'd expect it to be slightly higher by the end of the year.
Peter Egan: Thank you. Moving on to Slide 12. Investments I touched on earlier. And as I also mentioned earlier, we've invested heavily in our Workwear plants over the last number of years in automation, and we've invested clearly in Crawley, bringing on more capacity within HORECA in H1 of this year. In Ireland, in particular, in our plants in Wexford, 2 hours south of Dublin and Naas Road just outside of Dublin. We invested in both those complexes to generate more capacity and to drive more efficiencies, and they're coming to completion as we speak. And also, we have a number of other investments as we continue with ongoing CapEx and refurbishing CapEx within our wider estate, including new commercial vehicles. Moving on to sustainability on Slide 14. So continue to work with our suppliers and meeting our goals and our targets that we set there for 2030. We were awarded a silver medal for EcoVadis, which we're pleased with and continue to work on that. We published our fourth sustainability report just recently and continue with our reduction of using plastic within our estate, having removed plastic from 2 of our sites with our target to have zero plastic use in our estate by 2030. Clearly, we brought Crawley on board. And as you would imagine, being able to open a new plant and new facility, we've done a lot of work there with regards to heat, heat recovery, water recovery and sustainability ESG overall. We're also looking at some investments within solar, particularly in our sites that have got freeholds, and we'll continue to look at those projects for the back end of this year. And then 8% of our fleet as we stand at the moment are running on HVO. And we've got a number of vehicles running on electric where the payload allows us to do that. Moving on to Slide 16, operational performance financials.
Yvonne Monaghan: So in HORECA, revenue for the division increased by 7.2% to GBP 185.4 million. That's a combination of the acquisitions in '24 and some contracts added. Organic growth, 1.4%. It's probably split about 2% price increase and 0.6% down in volume as a rough guide. EBITDA margin was 29% compared to 27.8% in the first half of '24, so good improvement. Operating margin improved to 12.1% benefiting from lower energy costs, which HORECA uses more energy than Workwear, but so we're 8.7% of revenue compared to 10.5% in '24. So Empire business, which we acquired back in September last year, almost 12 months ago now, has settled in well, and we're pleased with that performance. And we're expecting the margins to continue to improve as we continue to invest in the plants and we go through the rest of this year and into next year.
Peter Egan: Moving on to Slide 17, operational performance in HORECA. We touched on the 1.4% organic growth. Sales pipeline remains strong. We deliver the service on time and in full, which is the foundation of everything that we do. We deliver on what we say we're going to deliver and have got good relationships with our customer base throughout -- as you know, we opened a new depot on a hotel linen site just outside of London to help us penetrate further into the London area. And our new Crawley site, as I already mentioned, is live up and running and producing, and we'd look to get that plant into breakeven into 2026. Rebranding with recent acquisitions. So Ireland is well underway. Johnson's Celtic Linen branding within Ireland, both for vehicles, plants and general marketing over there. And then we look to Empire and Regency as we go through within the luxury linen element as well. As I said earlier, we continue to invest in our sites in all of our locations and particularly in areas that we have and can see increasing capacity or improving our efficiencies. And then any investments that we do within HORECA or Workwear, we look through the lens clearly of sustainability and what that might give us in return as well. So overall, from an operational performance, I guess, in HORECA, as I said earlier, volumes are a little light earlier in the summer. That was improved into July and maintained throughout. Could have been stronger, but I think the whole industry in the U.K. and Ireland could have been stronger in hospitality. But be that as it may, we're still confident in delivering our adjusted profit margin for the end of this year and into next year with good tight control on costs. Workwear financials, Slide 18.
Yvonne Monaghan: Yes, revenue increased to GBP 72.1 million, which is 1.3% increase and an improved EBITDA margin of 35.9%. Adjusted operating profit of GBP 10.4 million, giving a margin -- operating margin of 14.4%. Rental stock depreciation was GBP 11 million in the first half, slightly higher than '24, but expected to remain stable as we go through the year. Energy costs in Workwear, as I mentioned, are lower than in HORECA and we're about 5.5% of revenue. Last year, we're about 6.7%. So that has helped the margin and largely offset the increased labor cost. The Lancaster work, if you remember, we announced the closure of the Lancaster site, small plants up in the Northwest and that work has now been moved into the Manchester site with no impact on customers, pleased to say. New sales in the first half were encouraging and new installations are starting to come on stream. We were pleased with the organic growth in Workwear if you look back at the best increase we've had for quite a few years now.
Peter Egan: And then on to Slide 19, staying with Workwear operational. I was pleased with the organic growth in Workwear. Also pleased with the retention levels, 94%. If remember, we used to be at 95%, 96% historically. 94% is a very good result. It shows our customers stay with us, we retain them and on the back of delivering a really good service. Yvonne already mentioned, we moved Lancaster into Manchester off the back of investment in Manchester on more productivity and more innovation. Also one thing to note, we had a unit fire in our Bristol plant in our workwear section. So in our industrial Workwear unit within our Workwear plant in Bristol. We had a fire that took out part of the plant and it's continually -- it's not operational. We have moved work out to neighboring plants in line with our business interruption. We had no knock-on effect to our customers. So overall, Workwear pleasing with the recovery to date. Outlook, more of the same, continue to do proactive management of costs. That's generally what we do, we do it well. We're laundry operators. We know how to run laundries, and we know how to adjust our cost base even in sometimes in a challenging environment. Adjusted operating margin will continue to improve and hit our expectations for the end of this year and into next. Our strategy of acquisition will continue as well in the absence of acquisition, looking at potentially where we can add on capacity if it's needed and where it's needed. Strong balance sheet. as we mentioned earlier, to support good organic investment and M&A and obviously look at return to shareholders as well by way of buyback that we've been consistently doing over the last couple of years. So confident in the medium- and long-term growth of our prospects of our business and remain confident in reporting full year operating margin in line with expectation. And on that slide, we mentioned buybacks that I've already covered in previous slides. Just to Slide 23. Again, we just put this slide in as a reminder of how our business has evolved from 2012 to current state, where we are truly a HORECA and Workwear business and dedicated textile rental provider, and in line with the number of acquisitions that we have done. We're laundry operators. We know how to manage in the laundry environment, and we'll look for further opportunities to add to our estate. On to Slide 24, essential provider. I already mentioned, we provide an on-time and in full service. Without our service, hotels can't service their rooms, [indiscernible] their rooms, but it's important that they also appreciate that we provide that service with a very, very good quality and on time and in full. We provide a local service. We're a national operator. Of course, we are across the U.K. and Ireland, where we look at providing a local service nationally. That's how you drive good customer service and good delivery of the service. Sustainability, you know that we are working and have been working hard on that with regards to our sustainability policies and our reports that we have done and generated within the targets that we set within sustainability. And the limited substitutions, I guess, in the market for our service, particularly on the flatwork side hotel side. Moving to Slide 25. Again, it's just a recap of organic growth revenue, consistent track record of delivering organic growth, underpinned by really, really good service and long-term relationships. We have a good relationship with our customer base. Operating margin, we continue to look at that. We continue to recover our margin. And as I said, we're in line for this year and looking to next year for the 14%. And from a capital allocation perspective, a strong balance sheet, we're cash generative. We invest back into our business. We invest in innovation. We ensure that we keep ourselves agile. We're looking for opportunity within acquisition. And also, we return to our investors, excess cash to our investors, and we'll continue to monitor and review that. And that brings us through to the end of the slide deck. Thank you very much for listening, and happy to take any questions.
Tom Callan: Tom Callan, Investec. Just one on some core investment. Just one on sort of the organic investment program. So I just wondered if you could give us an idea as to maybe medium- to long-term view where the opportunities are in terms of organic investment beyond BAU maintenance CapEx, where can you invest to drive improved productivity, increased automation, whatever it is? Are there any obvious blank spaces where you can -- that you can fill in?
Peter Egan: Well, we'll clearly continue to look at any innovation and given the business of our size and ship, you'd expect us to look at any machinery or equipment that's out there that potentially is coming to the market that we're happy to test. And as I touched on earlier, we've invested in innovation, particularly we didn't Workwear over the last number of years on robotic callers. All of that, we look through the prism of sustainability and what it can get return, whether it's a saving on gas, electricity, water. And that brings us, I guess, to also look at other innovations within sustainability for example, solar panels, I mentioned earlier, particularly in our states where we've got freeholds. Look at the return on those, I guess, with the most improvements over with panel the last number of years. something that's on our radar at the moment. Well, so can we benefit from that even further? And I guess the question, it's a little of everything. It's a good deployment of CapEx to see where we can eat out a better return and better efficiencies. Chris?
Christopher Bamberry: Chris Bamberry, Peel Hunt. I have 3 questions on HORECA. Just one of the things if that's okay. Could you perhaps give us a little bit more on the variations in terms of geographical performance and any difference enteprise luxury against volume?
Peter Egan: Geographical performance, not significantly. So we didn't have any particular slowdown in the North versus the South. I think it's just performance overall in hospitality. It's been a little quieter than we would have liked given the summer that we've had weather-wise. If you remember last year, we had quite strong volumes, but quite a wet summer. This summer, we've had -- yes, not volumes, they were good, but they could have been stronger. But it was across the piece, U.K. and Ireland, I think across hospitality overall, not just JSG. The luxury side held up quite well overall. We've got 2 luxury plants, Regency and Empire. But different climate, I guess, for those type of customers, but they held up quite well.
Christopher Bamberry: And in the second half, does that mean you've gone from negative volumes to positive volumes so far with...
Peter Egan: We don't look at it that way. We'll look at it and we'll have an expectation of where we want to see -- where we expect to see volumes as we go through the summer period and then into the autumn period. Even now in September with some of our plants that will actually get quite busy as the kids return to school, people take the opportunity to have a staycation, and that's good for us. But we look at volumes in line with what we expect within the geographic within the type of work and the actual mix of work coming from different customers. So as I said, we'd expect to see that to continue throughout the year. But again, it could have been stronger, but be that as it may, we'll see what the next -- the rest of the year brings.
Christopher Bamberry: And finally, in Ireland, you added 1,300 rooms, I think. Was that new customers, existing customers or mix just a little bit more?
Peter Egan: A little bit of both. Yes, a little bit of both. And we've invested in Ireland, as I said, in the Wexford plant and in Naas Road. Naas Road, Wexford plant is a health care and hospitality plant. Naas Road is a hospitality plant. So we've increased the capacity there, given its proximity to Dublin, but the volume increases have come from both internal and external.
James Fletcher: James Fletcher from Berenberg. Just a couple, if I may. Just can we talk about pricing expectations, particularly in HORECA, kind of how they've gone thus far this year versus your earlier expectations? Has been tougher conversations or have customers been quite receptive given the kind of cost headwinds? And then just one on the buyback. You've done quite a lot of buyback activity over the last few months. I wonder if that means on M&A, there's kind of nothing kind of short, medium term or that's reading it wrong?
Peter Egan: Thank you. I'll take the second part of the question or second question first. No, it's not an indication that everything has slowed down. We generate and have been generating quite a lot of cash. And clearly, we have had -- we've done a number of buybacks over the last 2 years with our capital allocation waterfall, nothing has changed. Acquisitions don't come along one after another. You may have known for a short period and you have 2 come together. But there's nothing that we do, particularly even with the buyback that's restricting our opportunity on acquisition, and we still see opportunity there. Price expectation, Yvonne?
Yvonne Monaghan: Yes. So I think we said HORECA was about 2% price in terms of that organic growth number. I think it has been more difficult to get price increases through. And I think we do say that in the statement it's been challenging. But having a good service reputation, good service levels is one way of trying to push price increases through. So I think we are seeing some resistance, but we have managed to get some pricing increases through. It's always been nice to get more, obviously.
Ben Wild: Ben Wild from Deutsche Numis. First of all, congrats, Yvonne. I think this is your last set of results for Johnson, so congratulations. Three questions really from me. Firstly, on a short-term basis, pricing in Workwear, is that running at a similar level to the 2% in HORECA? And in terms of that customer retention, can you maybe discuss the drivers you talked about service, is there any pricing element to driving higher retention as well. I think secondly, on capital allocation, in for last set of results, Synergy was acquired by K-Bro. You've talked in the past about looking at entering the health care sector in the U.K. Is that still feasible for you with synergy out of the picture? And then coming back to the share buyback and the size, with that larger deal now off the table, did you consider? Would you consider doing a larger share buyback given the headroom that you have on the balance sheet?
Peter Egan: Okay. I'll take those in reverse order. The share buyback, we'll consider at each, I guess, milestone of when previous one is completed and what market conditions are and what the opportunity is back to the previous question. There was another change to increase it or decrease it. Those levers we can pull and remain quite fluid on both. With regards to health care, yes, we've never made any secret of it. We are and would enter the health care market, providing the entry levels are at the right point for us. And if they're at the right points for us on significant entry levels, then we would not rule out movement into health care. And don't forget, we've got a significant health care portfolio in Ireland, both private and public in Celtic Linen and Johnson Linen in Ireland that we've run very well. So no, we would never rule that out. And then on the retention within Workwear. Workwear retention, our customer base it really is about the customer service, being close to your customer, delivering on the expectation from that customer. If you try and drive retention by reducing your costs, it's a short game reducing your prices, sorry. That's a short game. So we look at driving retention on ensuring that our customers are satisfied on what we do and why we do, hence, an annual customer survey. On asking our customers I give tomato a number of questions. And also we'll review those questions on an ongoing basis with our customers as well. But pleased that we are have continued to improve our retention and Workwear. Pricing, Yvonne, do you want to touch on that price increase?
Yvonne Monaghan: Yes. So I think we've probably netted around 3% on price in Workwear and it's a bit of a mixture. It might be a bit higher on some customers, a bit lower on others, average about 3. And that is tough as well. We are not the cheapest in the market and we sell on service, and we don't want to be the cheapest, but we do want to give a good service. So it's a balance and it's convincing customers that it's value for money, paying a bit more on the per piece price, but that's it. I suppose it is our simple invoicing structures, et cetera. So it's convincing customers that, that is the best way to do it.
Ben Wild: Just picking up on the energy price dynamic as well. Just based on that 14% margin target that you've put into the market for next year, where do you think energy as a percentage of revenue needs to get to based on our consensus is at the moment?
Yvonne Monaghan: Yes. So I think 8% in the first half. For the full year, it should be slightly lower than that. And then I'm expecting it to be lower again in '26. We're already locked in to a certain extent for '26 over half locked in. So I'd expect it to be low 7s.
Peter Egan: Yes, Chris?
Christopher Bamberry: You reduced the other cost bucket by 90 bps to 16.5% revenue. Just wondering is there anything particular within there you can identify?
Peter Egan: Within the cost reduction, again, a multitude across the piece of just trying to ensure that we become and stay as efficient as possible. We adjust our plans with volume. We adjust our plans with what's happening in the local environment, and we've got good operators. And we've got good operators that can flex up and down. And clearly, there's challenging as Yvonne said, price increases are challenging are all going to be challenging. We've got cost headwinds we've got to deal with national insurance, we've got to deal with the increases, living wage and everything that comes with it. But we've structurally all set our plants up to delivering on time and full service as efficiently as possible. And we're constantly looking for those marginal gains, little marginal gains that can help us with reducing our cost base. I think that wraps up the questions. Thank you very much, everyone. Appreciate everyone in the room and your support, and thank you to everyone online.